Operator: Good morning and welcome to the WNS Holdings Fiscal 2023 First Quarter Earnings Conference Call. At this time, all participants are in listen-only mode. After management’s prepared remarks, we will conduct a question-and-answer session and instructions for how to ask a question will follow at that time. As a reminder, this call is being recorded for replay purposes. Now, I’d like to turn the call over to David Mackey, WNS’ Executive Vice President of Finance and Head of Investor Relations. David?
David Mackey: Thank you. And welcome to our fiscal 2023 first quarter earnings call. With me today on the call, I have WNS’s CEO, Keshav Murugesh, WNS’s CFO, Sanjay Puria, and our COO, Gautam Barai. A press release detailing our financial results was issued earlier today. This release is also available on the Investor Relations section of our website at www.wns.com. Today’s remarks will focus on the results for the fiscal first quarter ended June 30, 2022. Some of the matters that will be discussed on today’s call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to those factors set forth in the company’s Form 20-F. This document is also available on the company website. During this call, management will reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliations of these non-GAAP financial measures to GAAP results can be found in the press release issued earlier today. Some of the non-GAAP financial measures management will discuss are defined as follows: Net revenue is defined as revenue less repair payments. Adjusted operating margin is defined as operating margin excluding amortization of intangible assets, share-based compensation, and goodwill impairment. Adjusted net income or ANI is defined as profit excluding amortization of intangible assets, share-based compensation, goodwill impairment, and all associated taxes. These terms will be used throughout the call. I would now like to turn the call over to WNS’s CEO, Keshav Murugesh. Keshav?
Keshav Murugesh: Hey, thank you, David. And very good morning, everyone. WNS’s financial results in the fiscal first quarter continue to demonstrate solid performance, including top line growth, margins, as well as free cash flow. Net Revenue for Q1 came in at $274.8 million representing a year-over-year increase of 16.3% on a reported basis, and 20.8% on constant currency. Sequentially, net revenue reduced by 0.1% on a reported basis, but increased 2% on a constant currency basis after adjusting for foreign exchange. In the first quarter, WNS added seven new logos and expanded 30 existing relationships. The company also delivered strong adjusted operating margins of 21.1% and grew adjusted EPS by 18% year-over-year. Sanjay will provide further details on our first quarter financial performance in his prepared remarks. For the past few years, WNS has been consistent in our message that while talking M&A was a key organizational priority we will continue to be disciplined in our approach, and remain focused on finding assets that were ability based or rather capability based, good cultural fit, and had strong financial performance. On the 1st of July, we were excited to announce the acquisition of Vuram, a global leader in intelligent enterprise automation, which we believe checks all the right boxes. From a capability standpoint, Vuram brings demonstrated experience and expertise in helping companies accelerate end to end digital transformation by aligning, automating and optimizing processes to enable the creation of scalable BPM solutions. Their logoed approach to intelligent automation leveraging strategic partnerships with industry leading technology platform and tool providers enables faster speed to market and a highly flexible approach to designing and deploying customized client solutions. This complementary capability will not only allow WNS to accelerate new clients’ transformation programs, but will also help us enhance ongoing productivity improvements for existing engagements. Vuram services span the clients’ front, middle and back office and include process automation, digital consulting, user experience and user interface solutions, advanced analytics, quality assurance as well as testing. The company’s approach to driving process automation is horizontal in nature, and therefore can be easily applied to any WNS vertical or service offering. In addition, Vuram has created unique reusable components including automation accelerators, specifically tailored to key verticals including banking and financial services, insurance as well as healthcare. Today, the Vuram team is comprised of more than 900 professionals providing WNS with a new set of digital skills, and an additional channel for sourcing digital talent. Culturally, we also believe Vuram is an excellent fit for WNS as well. They utilize a client-centric approach, driven by customized services and solutions, operate a globally distributed delivery model and have a very strong focus on employee care as well as development. In fact, Vuram has been recognized as one of the best companies to work for in India, each of the past five years. Vuram also brings a proven track record of delivering growth and margins, which meet or exceed WNS, financial benchmarks. This past fiscal year Vuram grew revenue more than 35% and delivered adjusted operating margins in excess of 20%. We are very excited to welcome Vuram to the WNS family, and we look forward to working together as we continue on our journey towards digitally led human assistance services and solutions. Later on this call itself, Sanjay will share with you additional financial details of the acquisition, including the expected contribution to fiscal 2023 guidance. Today, I also wanted to spend a few minutes talking about the weakening global macro environment, and its potential impacts to WNS. As we all are aware, most countries today are experiencing significant economic and political challenges. Now the impacts of rising inflation, slowing growth, labor supply pressures, geopolitical conflicts, supply chain issues, as well as the COVID pandemic has increased the likelihood of a global recession and are forcing companies to reassess their business plans as well as the spending levels. Fortunately, for WNS, we believe that demand for our services will continue to have low macro correlation, and overall will remain healthy. Today, our revenue momentum is being driven by our clients need to digitize processes in order to be competitive in their respective markets. This is really not optional or discretionary and cannot be postponed until the economic environment is healthy. We saw this theme emerge during the pandemic as clients move forward, citing new transformational deals and expanding the scope of existing arrangements despite the volatile macro. In addition, it is important to remember that the bulk of WNS, services while helping automate processes and improve competitive positioning, also deliver significant and rapid cost savings to clients. Since there is very often little or no upfront financial investment on the clients part. The decision to move forward with these initiatives is much easier and far less exposed to budgetary pressures. In fact, we believe there is an opportunity to see scopes of work increase, and sales cycles reduced as clients look to accelerate savings in this environment. While we expect demand for new business will remain healthy in a weak macro, we are also comfortable with the overall stability of our existing book of business. Today, approximately 95% of WNS’s revenue is recurring in nature, highly visible and backed by long term contracts. Because the functions we manage are mission critical to the clients’ day-to-day business, any decision to change partners or bring back work in house can be very risky and expensive for clients, or potential prospects. Today, we are not seeing any adverse impact to our business from a weakened macro environment. And in fact, we continue to see strength in our pipeline, deal flow, as well as business momentum. That being said, we will continue to monitor our client base for potential headwinds. In short, we believe that the stable nature of our services coupled with resilient demand, driven by our clients need to digitize better compete and save money will enable WNS to perform well even in a weak global macro environment. We are also comfortable that our company is better positioned to capitalize on the growing digital opportunity in the BPM space. WNS will continue to focus on investing for the future, executing on our strategic initiatives and delivering sustainable value for all of our key stakeholders. I would now like to turn the call over to CFO, Sanjay Puria to further discuss our results and outlook. Sanjay?
Sanjay Puria: Thank you, Keshav. In the fiscal fourth quarter, WNS’s net revenue came in at $274.8 million up 16.3% from $236.3 million posted in the same quarter of last year and u[ 20.8% on a constant currency basis. Sequentially, net revenue decreased by 0.1% on a reported basis and increased 2% on a constant currency. Sequentially, underlying revenue momentum was masked by currency depreciation or reduction in short term revenue and the impact of contracts or productivity commitments to certain clients. In the first quarter WNS recorded $0.2 million of short term revenue at margin above company average. Adjusted operating margin in Q1 was 21.1%, as compared to 20.8%, reported in the same quarter of fiscal 2022 and 21.1% last quarter. Year-over-year adjusted operating margin increased as a result of operating leverage on higher volumes, improved productivity and currency movements net of hedging. This benefits more than offset employ wage increases and higher facility related and travel costs associated with our return to office. Sequentially, margins decreased as a result of wage increases and a higher facility related and travel costs. These headwinds were partially offset by improved productivity lower SG&A cost driven by Q4 bonus and incentive amounts and currency movements net of hedging. The company’s net other income expense was $0.2 million of net income in the first quarter, as compared $0.5 million of net income reported in Q1 of fiscal 2022 and $0.9 million of net income last quarter. Year-over-year the unfavorable variance is attributable to $1.2 million of interest income on a tax refund recorded in Q1 of 2022 which more than offset increased interest income on higher cash balances and lower interest expense relating to operating leases and debt repayment. Sequentially, the unfavorable variance is a result of point $0.6 million of interest income on a tax refund recorded in Q4 of 2022. WNS’s effective tax rate for Q1 came in at 21.1% down from 21.5% last year and up from 19.7% last quarter. Year-over-year, a onetime tax benefit on liquid mutual funds in Q1 of last year was more than offset by shift in our geographical profit mix and changes to the mix of work delivered from tax incentive facilities. The sequential increase in our effective tax rate resulted from the mix of work between geographies and tax exempt facilities. Recently, the fiscal incentives review board in the Philippines has relaxed the return to office regulation allowing firms to operate 30% from home per facility until September 12, 2022. The change was made retroactive to April 1, and as a result, WNS’s Q1 effective tax rate was not negatively impacted as we had expected. The company’s adjusted net income for Q1 was $45.9 million compared with $39 million in the same quarter of fiscal 2022 and $48.3 million last quarter. Adjusted diluted earnings are $0.90 per share in Q1 versus $0.76 in the first quarter of last year and $0.95 last quarter. This represents year-over-year EPS growth of 18%. As of June 30, 2022 WNS, balances in cash and investments totaled $373.5 million, and the company had $31.7 million in short term debt. In addition, the company has also taken an $80 million term loan for general corporate purposes on July 7, 2022. WNS generated $15.8 billion of cash from operating activities this quarter, and incurred $10.9 billion in capital expenditures. During the quarter, the company report is 742,000 shares of stock at an average price of $72.48 which impacted Q1 cash by $51.2 million. DSO in the first quarter came in at 29 days, as compared to 32 days reported in Q1 of last year and 30 days last quarter. With respect to other key operating metrics, total headcount at the end of the quarter was 55,146. And our attrition rate in the first quarter increased to 49%, up from 32% reported in Q1 of last year and up from 44% in the previous quarter. As was the case last quarter the elevated attrition was concentrated at the junior most levels of the organization and primarily focused on voice based CX service in the Philippines, resulting from the return to office mandate. In addition, it is important to note that WNS Q1 attrition rate typically runs approximately 2% to 3% higher than other quarters due to the timing of our annual review, bonus and incremental cycle. We do not believe that this elevated level is currently impacting our ability to service clients or accelerate growth and we expect the attrition rate will reduce over the next few quarters. Built seat capacity at the end of the first quarter was table coming in at 34,674 seats. The seat utilization metrics which the company typically provides as a measure of infrastructure productivity are not meaningful given the company operated at 59% work from home globally in Q1. In our press release issued earlier today, WNS provided our revised full year guidance for fiscal 2023. Based on the company’s current visibility levels, we expect net revenue to be in the range of $1 billion and $100 million to $1 billion and $152 million representing year-over-year growth of 7% to 12% on a reported basis and 11% to 17% on a constant currency basis. The acquisition of Vuram has increased our fiscal 2023 revenue guidance by 2% and our top line projection assumes and average British pound to U.S. dollar exchange rate of 1.20 for the remainder of the fiscal 2023. Consistent with our guidance approach in previous years, we currently have 95% visibility to the midpoint of the range, which does not include any uncommitted short term revenue or improvement in travel volumes beyond Q1 levels. Full year adjusted net income for fiscal 2023 is expected to be in the range of $183 million to $195 million based on a 79 rupee to U.S. dollar exchange rate for the remainder of the fiscal 2023. This implies adjusted EPS of $3.62 to $3.86, assuming a diluted share count of approximately 50.6 million shares. The guidance includes an increase of $0.01 per share associated with acquisition of Vuram, which is inclusive of all acquisition and integration costs and reduction in interest income. With respect to capital expenditures, WNS currently expects our requirements for fiscal 2023 to be up to $40 million. We will now open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Bryan Bergin with Cowen. Your line is now open. 
Bryan Bergin: Hi guys, thank you. Wanted to just start here a high level question digging into client sentiment spending appetite maybe across different regions and industries. Can you give us a sense on maybe the U.S. base versus UK and Europe really anything in that decision making that spending appetite to sales cycles? And then as well just what you’re seeing in travel, and your thoughts going there forward? So U.S. versus UK, Europe, and then specifically travel?
Gautam Barai: Thanks, Brian, this is Gautam. So what we’ve been seeing over the last few quarters, the recovery has been led by our U.S. clients, followed by Europe and the UK and APAC. But what we’ve seen in the last quarter, in fact, is the deal flow is starting to increase in UK and Europe and the decision making cycles have also started shrinking. So clients are making decisions a lot more quickly to start the implementation. In terms of the travel vertical, what we’ve seen is whilst the current set of forecasts that we haven’t projected, are at the Q1 level that we have seen, largely the recovery has been led through leisure travel. The corporate travel is still not picked up to the levels of pre pandemic days. But what we see is airlines and airports start improving their capacity with additional flight crews or baggage handlers, etc. that volume could start increasing over the next few quarters, but that we have not yet factored in there. I hope that answers the question.
Bryan Bergin: Yes, it does. Thank you. And then just a follow-up here on the workforce and the attrition outlook. Can you just give us a sense on what the company attrition would be ex-Philippines? And then just more broadly, how are you thinking about the ultimate impact here for Philippines through the business model?
Gautam Barai: So I would say if we remove the Philippines level of attrition, we will do it about 33% to 35% level. In terms of our ability to deliver to our client commitments or the ramps that are projected, we are seeing absolutely no pressure in terms of doing that. There is a certain level of pressure that we are now hiring and training team but our unique model that we have, especially with our training academy, our ability to hire CX agents in the Philippines and deploy them rapidly into our client accounts it solves the problem quite well, for me.
Keshav Murugesh: I’ll just add over there that specifically for the Philippines because work from office, the mandate what given and accordingly that raise the attrition, because if you remember it started from April 1 and that is where we started asking people to come back to office. And accordingly, the quarter one was up. Having said that we saw that picking up in April. And we ensure we have seen that coming down and accordingly it’s too early, but gradually we believe that we expect it to reduce over the few quarters now.
Sanjay Puria: And just to add to that one other piece when you look at obviously the fact that this attrition level is putting pressure on the recruitment in the training teams. Despite that when you look at the overall company we added more than 3000 people on a net basis in the first quarter including more than 700 in the Philippines. So certainly it’s not ideal, but in terms of impacts to the business at this point very low.
Operator: Our next question comes from Mayank Tandon with Needham. Your line is now open. Mayank, your line is now open.
Mayank Tandon: Good morning. Couldn’t hear my name there. I just wanted to, Keshav, you talked about demand being very durable. I just thought maybe you could give a little bit more breakdown in terms of what areas you might see that benefit versus areas that might see some potential softness? It sounds like the net effect is still reasonably positive but just wanted to get a little bit of feel for some of the areas that might be impacted, positive or negative, as you go through the slowdown globally that he talked about?
Keshav Murugesh: Yes, that’s a good question. So Mayank, I think the first headline item I would like to mention is that people have been talking about this forthcoming recession and the downswing and company’s fortunes and the clients fortunes, economies fortunes, country’s fortunes for a while now. And what we’re actually seeing is our experience has been that the nature of services that we actually provide, has become so strategic that when there is a decline in the overall economic position, it actually accelerates the fervor for our business. Now, having said that, as we have discussed many times before, if it’s a doomsday kind of a situation for the whole world, nobody can predict what will happen there. But I think the significant change to the company has made and I would say, to the great extent, the sector also has been over the past few years, is that we are improving company’s competitive positioning, we’re helping them create disruption, we’re helping companies manage volatility. And in our conversations with every client, across all sectors, what we are hearing is that everyone wants to use the so-called recession or the so-called downswing and fortunes, to actually future proof their businesses. And in that journey, what they’re looking to do is actually sign up with the most trusted partner like WNS. So from our perspective if I had to look at it from an opportunity point of view, I actually think that broad based growth across each of our areas are driven by the transformation agenda, the digitization agenda, is what will drive fortunes. If there is one area that I felt could have an impact over a period of time if things didn’t work out for the world at large, it will be travel again, because then companies will come into discretionary travel and things like that. So one could see some impact there. But let’s agree that, in our view, that the opportunities from recession far outweigh the risks at this point in time and our conversations with every one of our clients, clearly demonstrates that our clients also thinking. The pipeline continues to be the strongest it has ever been. And the other thing I want to mention is, today the situation is such that many of our clients are not just looking at our core offerings, but are actually reaching out to us as a strategic partner to also help them with their staffing needs. It’s a very interesting new dynamic that we’re seeing where clients like you said saying help me with stopping in these locations. Now, wherever it is strategic and leads to more strategic revenue for us obviously, we are embarking on the journey with them. Where it is discretionary, short term we’re not getting involved in those discussions.
Mayank Tandon: That’s great to hear. And just I have a quick follow-up on margins. Sanjay talked about some of the offsetting factors that helped margins this quarter relative to where I think you had set expectations, but can you talk about some of the levers and how we should think about margins for the rest of the year? Thank you.
Sanjay Puria: So from the rest of the year, we believe the margin expectation is going to be at an average of 21%. So we are not seeing any further dilution. But having said that that factors including the Vuram integration as well as acquisition costs what we have to do during the year and also factors further returned to office percentage going up because right now we are at 41% and we expect to end the year around 60% - 65%, which means the more travel costs and more accommodation in the facility cost is going to be there. And with our continued investment into SG&A which is around this sales, hiring, digital investments and so on.
Keshav Murugesh: Yes, and I think just to further that what one of the things we talked about last quarter was the ongoing investment in sales, and that we’ve kind of taken a step forward in the fourth quarter. Just as an FYI, we did continue our sales hiring again in the first quarter and we’re now up to 125 quota carrying salespeople within the organization. So that investment continues to be critical and strategic for us, and I think reflects this case, it was mentioning, the overall opportunity that we’re looking at.
Mayank Tandon: I’m sorry, just to be clear David and Sanjay, if you stick margins to basically be right around 21% for the rest of the quarters, or is it going to be more skewed towards the back half? Just want to get a better sense of the trajectory on margins for the rest of the year? Thank you.
Sanjay Puria: So I think it’ll be quarter two, we expect it going to be a percent lower than quarter one, at this stage, because of the Vuram integration as well as acquisition cost is going to be higher in quarter two. And then the balance amount is going to be the for the balance of the year. So overall, for the full year at 21%.
David Mackey: What you should, Sanjay is right, what you should see is a dip in the margins in Q2 because of the weighting on the acquisition and integration costs and the return of some of the SG&A expense that was light in Q1. But you should see margins accelerate from those Q2 levels in both Q3 and Q4.
Mayank Tandon: Great congrats on the quarter. Thank you. 
Operator: Our next question comes from Ashwin Shirvaikar with Citi. Your line is now open.
Ashwin Shirvaikar: Thank you. Good quarter, folks especially given the extreme level of volatility and change. My first question is with regards to the revenue per built up seat. It’s done sequentially very modestly, but it’s still at a level that’s among the best it’s ever been. Can you maybe break down some of the underlying dynamics here both for the trend itself sequentially and year-over-year but equally important on the year-over-year, the very high increase? How much is pricing? How much is a few other factors, the nature of fork, things like that?
Sanjay Puria: Yes, I mean, there’s really kind of two metrics Ashwin that I think you’re kind of honing in on here. And from our perspective, the more important metric is revenue per employee and on a constant currency basis, revenue per employee year-over-year is up a little over 3%. So that to us is reflective of the ongoing productivity in our business, the fact that we’re selling higher value services and solutions, all the kinds of things that we want to see in the business. When you look at revenue per built up seat, it’s kind of a metric that at this point is a little bit of a challenge, because at the end of the day, we haven’t been building capacity for the last two years, based on the pandemic and based on the fact that we’ve had significant portions of our population working from home. So that metric clearly has accelerated because even today we’re still significantly in the vast majority of our people are working from home. And as a result, we haven’t been building out that infrastructure. So I would say from that metric clearly the pandemic and the work from home environment has been the driver for the increase in revenue per built up seat.
Ashwin Shirvaikar: Got it. Got it. And the second question is, can you comment on the diligence that you’re doing in terms of accepting new clients and ramping new clients? The reason I ask is because heading into the financial crisis many years ago, some of the notable clients that were signed heading in turned out to be the ones that were the most troubled. And I appreciate that this management team wasn’t, WNS back then. But I just want to make sure what your process is and so on.
Keshav Murugesh: Yes. So in terms of diligence, Ashwin, the way we’re focusing with clients is of course, if the client falls into what are our strategic verticals across the company. The second one is based on the profile of the client in terms of the kinds of goals that they’re giving basic transact through that absolutely small list of processes and incremental processes, we tend to stay away from it, where we try and adopt more work. Its end-to-end processes, where we have a greater ability to transform and digitize. And that’s been the trend we’ve also seen in the last two years. It’s more and more clients are demanding that we transform and digitize before we start off shoring. And that’s the nature of the clients that we are actually taking on board which gives us all the premium pricing that gets reflected into our margins.
Sanjay Puria: And Ashwin let me just add, I think your question is very relevant. And in fact over the last decade or so at the company, I must mention that we have focused very, very strongly on the whole risk management processes of the company, particularly in terms of every time we bring in a new client. So there’s a very strong process in terms of how we actually select a client. We select a client as much as they select us. And it comes from not just getting to know the client, but also understanding their balance sheet, understanding their cash position, understanding their liquidity position and things like that. We have a very strong chief worrying officer, chief risk officer, I call as the chief worrying officer, because he’s all the time worried about what could go wrong in the business. And I must compliment this management teams track record that in the last 12 or 13 years, you will realize that we’ve rarely had a situation of surprise essentially, because of our very strong risk management processes that we have at the company, on-boarding a client, and thereafter managing the client very, very proactively. So that’s a process that is a given. But it’s also intensified, as we focus on potentially a downturn globally over the next two years.
Ashwin Shirvaikar: Got it. Got it. Appreciate the detail. Thank you. 
Operator: Our next question comes from the line of Maggie Nolan with William Blair. Your line is now open.
Maggie Nolan: Right. Thank you. You mentioned that the client decision cycle, maybe already starting to shrink some. How is that impacting your hiring plans just given that you’re trying to hire quickly enough, you’re already hiring at high levels? And then there’s the additional attrition factor as well.
Gautam Barai: Yes. This is Gautam. Maggie as I mentioned earlier, one is so whilst there is pressure on our hiring and training teams, our ability to hire is not been impacted. We are able to add people quite quickly. Second, especially fresher, our fresher hiring has increased quite significantly. The second thing is our training academies are able to train people in the relevant skill sets quite aggressively and deploy them. So as of date we have had zero impacts to our ability to stick to our commitments to new clients as well as prospects.
Keshav Murugesh: I think the other thing that’s important to remember is this is not a build it, and they will come kind of a business. We don’t carry significant amounts of bench. When we hire and train resource. It’s typically to firm commitments or firm visibility. So for us, just because the pipeline is healthy, and just because activity levels are up, those aren’t going to engage hiring practices per se. It’s only going to be when we’ve got ink on paper that we’re going to start that process.
Maggie Nolan: Okay, got it. Thank you. And then great to see you do an interesting acquisition here. Is the plan to focus on integration of this acquisition? Is there an appetite for additional M&A from here? And if so, how is that pipeline looking?
Keshav Murugesh: Right. Actually, that’s, thank you for that question. So yes, absolutely. The focus right now is to integrate this asset extremely well. And as you know, based on our track record of doing the four acquisitions three or four years ago we’ve actually documented that process extremely well. So the integration is going very, very well. But at the same time, like, I mentioned earlier, we believe that this is not the time to step off the gas in terms of continuing to look at the right kinds of assets, right quality of assets, and any assets that can help us accelerate the revenue, momentum and the profit momentum and more importantly, provide the right solutions for our clients. So, we will continue to keep be very optimistic in terms of the M&A pipeline. I must mention that the pipeline continues to be very strong in all the strategic areas that we are focused on. And what is also interesting is that with the recent meltdown and noise around the economy, we are also seeing valuations become a little more sensible at this point in time. So we will not step up the gas as far as the opportunity is concerned.
Maggie Nolan: Thank you. Congrats. 
Operator: Our next question comes from the line of [Nate Wilson] with Deutsche Bank. Your line is open. 
Unidentified Analyst: Hi, guys, this is Nate on for Brian today. I just wanted to follow-up on one of the earlier questions on travel. So on the last call, you had talked about the potential for travel to add up to 2% of top line growth is travel returned to pre-pandemic levels. I’m just wondering what that upside potential looks like now? Obviously, you talked about sort of the recovery in leisure travel and still waiting on business travel to get back to pre-pandemic levels, but just wondering what that potential upside to the top line looks like for potential recovery travel?
David Mackey: Yes, this is David, Nate. That number in terms of the ability to contribute is still about 20 million annualized. So right around 2%. If you look at the travel revenues this quarter, they were relatively flat with fiscal Q4. So we did not see a meaningful recovery or a bounce up in our travel volumes in fiscal Q1 relative to fiscal Q4 which means the opportunity remains the same for us.
Unidentified Analyst: Got it. Very helpful, and then just quickly wanted to ask on the insurance and healthcare verticals. So how did those perform relative to expectations in the quarter and sort of what expectations do you have for the remainder of the year there? Thanks.
Sanjay Puria: Look, I think when you look at the first quarter, obviously, what you’re going to see from a reported number perspective is the fact that FX has a meaningful effect on verticals for us like insurance, where we have a healthy amount of that revenue that comes from both the UK and Australia. The expectation is that the insurance, the underlying insurance business will remain healthy. I mean, if you look at growth in that sector, it was 8% on a reported basis, but closer to 14% - 15% on a constant currency basis, on a year-over-year. So we expect insurance will continue to be strong. Healthcare has been a little bit mixed for us more on the pharmaceutical side then on the healthcare payer side. But we do expect that healthcare will continue to be a good grower and a meaningful contributor for us as we move throughout the year.
Operator: Our next question comes from [Indiscernible] with Wedbush. Your line is now open. Harris, your line is now open. Please check your mute button. Our next question comes from Vincent Colicchio with Barrington Research. Your line is now open.
Vincent Colicchio: Yes. Good morning, gentlemen. Nice quarter. I’m curious if you’re seeing any easing in wage pressures, given the economic backdrop in any of your major geographies?
Sanjay Puria: Not at this stage because what the clients are really focus is all about the productivity as well as the total cost of ownership. But nothing from a rate pressure because I think client do appreciate and understand.
Keshav Murugesh: Yes. So I think Sanjay heard it as rate. But it actually I think your question was on wages. Look, at this point in time, we are not seeing a lead up in terms of the wage inflation. And we continue to manage the wage inflation with all the levers that we have. But having said that, with the kind of noise we are now starting to see around the global recession, and also the fact that across the globe with all the levers that we have, but having said that with the kind of noise we are now starting to see around the global recession and also the fact that across the globe, we’re starting to see startups that were hiring a lot of his talent and companies that were actually attracting a lot of talent that traditionally companies like us had now starting to falter in terms of their ability to raise cash, and now starting to falter in terms of their ability to raise cash. And we believe that therefore, over the next few quarters, employees will stop behaving differently and that will actually drive a more sensible wage inflation program that will bring more kind of predictability to the model, I would say. But having said that in spite of all of it, we have been able to manage. You’re seeing the margin. You’re seeing the growth, and you’re seeing the way we are delivering the productivity. And when things change for the better I guess it’ll be positive for the company.
Sanjay Puria: And maybe I’ll just add over one point over there. Sorry, I heard rate earlier. But having said that specifically on the niche skills, still, definitely there are the wage pressure from a compensation perspective, because there is a gap between demand and supply at this stage. And as we, as Keshav mentioned, that start up faltering it out. So maybe over the quarters, we may start seeing that pressure also coming down.
Gautam Barai: And just to add to what Keshav and Sanjay mentioned, and as I mentioned earlier, our ability to higher pressures and train them is ensuring that our cost base doesn’t get impacted at all. And we are able to maintain the heightened levels of profitability.
Vincent Colicchio: And the question on Vuram, the low code capabilities and some of the other skill sets they add to the company, does that provide some differentiation versus your major competitors?
Keshav Murugesh: Yes, it does. Because as we’ve seen over the last two to three years, clients demand for digital transformation is at an all time high. So where we see with companies like Google that we have acquired is we’ve added hundreds of people who are to drive intelligent automation to low code, no code capability, and that is going to be continued to be extremely unique differentiator for us in comparison to our other competitors.
Vincent Colicchio: And I suppose they have a good engine to hire more of the type of people that have that experience which is another important advantage for you, is that right?
Keshav Murugesh: Yes. So two or three things, and I just want to expand on that, because Vuram is such an exciting, kind of asset for us. So first and foremost, I think it gives us that that stalking layer where the quality of conversation involving Vuram changes with a number of clients around and thereafter, our ability to wrap services around it is extremely high. They have a very solid engine of hiring and more importantly, our ability, therefore, to take them to every one of WNS’s traditional clients now is actually very strategic. But remember, they also have a roster of clients that are independent, many of whom are not known to WNS, but they are our top quality clients. So our ability now to also penetrate a radiant across their clients the other services that WNS brings to the table is also very high. I think that’s what makes us very, very exciting, strategic and differentiated.
Sanjay Puria: And also just all beyond the new client prospect, a lot of the committed productivity what we have with our existing clients I think that also, this capability is very exciting to deliver that as we move forward.
Vincent Colicchio: Thanks for all the color. Nice quarter.
Operator: Thank you. [Operator Instructions] Our next question comes from Puneet Jain with JPMorgan. Your line is open.
Puneet Jain: Thanks for taking my question and nice quarters. I had like a similar question as one of the prior ones. But for the internet tech clients. Those clients are about 20% of your revenue. Are you seeing any changes or any differences in client behavior among those clients? Is there an impulse to cut cost or maybe you do push more for a cost among those clients? 
Keshav Murugesh: Thanks Puneet. What we’re seeing absolutely an increased demand from the internet based clients as we progress through the year. In fact, a lot of them existing clients are adding more work and a few of the recent wins that we have had coming from the similar space as they look to transform their business or reduce costs.
Puneet Jain: Got it. Got it.
Gautam Barai: I think honestly, Puneet where we remain excited about the opportunity, it’s also important to remember that the services that we provide to the internet based clients are varied, right. So unlike what we see, for example, in CX, in travel, for example, we’re kind of spread amongst front, middle and back office functions that we’re providing to these clients. So good diversity there as well, as opposed to just focusing on customer facing types of activities within that sector.
Puneet Jain: Understood. That’s helpful. And then, with the headline inflation numbers also spiking, can you talk about [Cola] adjustments, and if you’re seeing any changes in pricing as a result of that? Maybe how much of businesses under those contracts or have [Cola] adjustments and how often pricing levels adjust for inflation metrics?
Sanjay Puria: So Puneet the majority of the contracts, what we have, does have a [Cola] clause. And if it does not have a [Cola] clause, it’s already factored as a part of the three year pricing from that perspective. So that has been always there. And that’s what you’ve seen over the years, because inflation was always there and two factors which is [Cola] as well as some of the productivity what we are able to drive that offset some of the pressure what we see from the wage.
Keshav Murugesh: And I also want to mention one more thing Puneet while you focus on [Cola] and productivity which Sanjay answered, I think what is more exciting beyond all of this for us is this trend of our pipeline itself, one, and the fact that if you look at the results of the company and the number of logos added in the last three or four years and the last few quarters actually are so exciting and so robust and so many new large high potential clients being added that as they add more and more processes our ability to have these discussions around better pricing around adjustment on [Cola] things like that, actually remains much higher as opposed to being dependent only on the old set of clients that we may have focused on a few years ago. So the big difference between WNS of old and WNS of new is the fact that a lot of the new revenue is now being generated from these new clients being added who are many of whom are the internet based, tech oriented, digital attacker, and we’re happy to have these conversations on these areas.
Puneet Jain: Thank you. That’s helpful.
Operator: Our next question comes from Moshe Katri with Wedbush. Your line is now open.
Moshe Katri: Thanks. Congrats on strong results. Just a couple of follow-up kind of questions on regarding the numbers. Did you disclose the portion of non-recurring revenues that could have contributed to revenues this quarter?
Sanjay Puria: It was $200,000 for this quarter.
Moshe Katri: Okay. And I’m assuming none of that is factored in guidance for the rest of the year. Right?
Sanjay Puria: Yes, we have not factored any uncommitted short term revenue or non-recurring where we don’t have visibility into the guidance.
Moshe Katri: Understood. And then just to understand the guidance right, so opt the lower and higher end of the are guided by about 300 bips, 200 bips of M&A. So you really raise the organic by about 100 bips.
Sanjay Puria: That’s correct.
Moshe Katri: And then finally, can you talk a bit about some of the synergies from the Vuram acquisition that you’re kind of that we can expect down the road? What’s attractive in terms of verticals, client base, etc? Thanks.
Gautam Barai: Yes. The Vuram acquisition is actually more than synergistic. It’s extremely complementary to our business. And given the aggressive adoption of low code, no code platforms, within the banking, financial services industry, the insurance industry and the healthcare industry, which are again, three of our prioritize verticals as we progress. And given a number of the new deals, the need for committing to productivity is increasing significantly. Vuram is going to actually help A, in delivering that level heightened levels of productivity, B, in terms of clients, that we’re actually splitting processes, and the hyper automation side of the business, that is now coming going to be a focus market for us because that will actually be integrated to what we do. And thirdly, there are a number of clients that exist within both sides of the fence that can be tapped into now.
Keshav Murugesh: I would just, I would add to the Gautam’s comment, Moshe that at the end of the day, there were pieces of new business that we were missing out on, because we did not have this capability in house. And there were other pieces of business that we’ve won, where we actually had to partner for this capability. So kind of similar to what we did with Denali in the high end of procurement. This asset actually fits really nicely within our existing capabilities is completely complimentary as Gautam mentioned. And we think helps us with a value proposition that is differentiated from what we were able to carry to market previously.
Moshe Katri: And it’s been a while since you did an M&A or an acquisition. So I’m assuming you’ve been kind of sitting on this and kind of doing your due diligence for a while.
Keshav Murugesh: Yes. Absolutely.
David Mackey: Yes. Absolutely. I think that the process that we follow in terms of evaluating opportunities has remained unchanged. Last time, we did a deal we did two deals within the same quarter. So I think the process remains the same. We want to be diligent. We want to be consistent in our approach and the things that we think work for us and this clearly fits those objectives.
Moshe Katri: Fair. And then final point on the pipeline. You’re talking about strong numbers, strong deal flow. Is there a way to kind of qualify what you’re seeing out there? Are we up 10%, 20% in terms of deal flow? Anything on that front will be helpful? Thanks a lot.
David Mackey: It’s really hard to quantify or to qualify Moshe, I think overall, we’re just pleased relative to the company’s growth rate in the overall growth and trajectory of the pipeline. And I think it’s just safe to put it that way.
Gautam Barai: Yes, just to add to what Dave mentioned, the bigger changes we’re seeing a lot more large deals coming into the hopper. Previously, a lot of the deals the clients have staggering the ramps. But now what we’re seeing is the clients want to ramp up aggressively.
Moshe Katri: Understood. Thanks.
Operator: Thank you. At this time, we have no further questions in the queue. This will conclude today’s conference call. Thank you for participating. You may now disconnect.